Operator: Thank you for standing by and welcome to the Heritage Financial Corporation Q4 2022 Earnings Conference Call. My name is Sam, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I would now like to hand the conference over to Jeff Deuel, CEO of Heritage. Jeff?
Jeffrey Deuel: Thank you, Sam. Welcome, and good morning to everyone who called in and those who may call in later. This is Jeff Deuel, CEO of Heritage Financial. Attending with me are Don Hinson, our Chief Financial Officer and Bryan McDonald, our President and Chief Operating Officer; Tony Chalfant, Chief Credit Officer, will not be joining the call today due to a personal commitment. Our Q4 and full-year 2022 earnings release went out this morning pre-market, and hopefully, you have had an opportunity to review it prior to the call. We have also posted an updated fourth quarter investor presentation on the Investor Relations portion of our corporate website. We will reference this presentation during the call. Please refer to the forward-looking statements in the press release. We are very pleased to report another solid quarter and year. We had good organic loan growth. We are pleased with the positive trend we have seen in the number of new commitments and new loan closings from our existing production teams as well as the newer members of our team in Southwest Washington and Oregon. Net interest margin continues to improve with rates moving higher together with careful management of our deposit relationships. We continue to manage expenses. As mentioned in previous quarters, we are experiencing the impacts of inflation-driven expense increases, together with the additional expense related to the new teams who joined us in May. You will recall, we guided to non-interest expense in the $40 million range, which is where we came in for the quarter. Notably, our long-standing focus on credit quality and actively managing our loan [indiscernible] for us. Staying focused on our conservative risk profile has enabled us to continue to report improving credit trends, and it provides us with a solid foundation as we phase into a more difficult economic environment in 2023. We will now move on to Don who will take a few minutes to cover our financial results and credit quality metrics.
Donald Hinson: Thank you, Jeff. As Jeff mentioned, overall financial performance was very positive in Q4, and I'll be reviewing some of the main drivers of our performance. As I walk through our financial results, unless otherwise noted, all of the prior period comparisons will be with the third quarter of 2022. Starting with net interest income, there was an increase of $3.8 million or 6.4% in net interest income, due mostly to a higher net interest margin. The net interest margin increased 41 basis points to 3.98% for Q4. This was due mostly to improved yields on earning assets while maintaining a relatively low cost of deposits. We continued the trend of solid loan growth in Q4 and finished the year with loan growth of $380 million or 10.3% ex-PPP loan repayments. In addition, yields on our loan portfolio were 4.86% in Q4, which was 35 basis points higher than Q3. Bryan McDonald will have an update on loan production and yields in a few minutes. The impact of higher yields on loans and other earning assets was partially offset by a decrease in total earning assets during the quarter due primarily to a decrease in deposits of $313 million or 5% in Q4. Most of this decrease was due to rate-sensitive customers seeking higher-yielding investments in addition to a significant portion of customers using excess cash for other purposes such as asset purchases and owner distributions. Of those seeking higher rates, most are going to brokerage firms to invest in higher rate bonds and T-bills. As an example, the Wealth Management division at Heritage Bank added $125 million in funds under management from Heritage Bank deposit customers during the quarter. We continue to strategically increase our deposit rates and develop attractive deposit products as well as working individually with our customers to maintain relationships. As a result of the current rate environment, we expect to continue to experience an increase in the cost of deposits as well as a decline in some deposit balances. As we have in the past, we may supplement core deposits with broker deposits. However, as of the end of 2022, we did not have any broker deposits on our balance sheet. All of our regulatory capital ratios remain strongly above well-capitalized thresholds. Our TCE ratio is at 8.2%, up from 7.6% at the end of Q3. Although the AOCI impact has decreased, it is still significantly affecting the TCE ratio. As of the end of Q4, AOCI had a 130 basis point negative impact on the TCE ratio. In addition, with a loan-to-deposit ratio of 68%, we have plenty of liquidity to continue to grow our loan portfolio. You can refer to Page 31 of the investor presentation for more specifics on capital and liquidity. Non-interest expense increased $1.2 million to $40.4 million in Q4. This was due mostly to increases in compensation expense resulting from continued inflationary pressures as well as higher FTE levels as we have been able to reduce the amount of our open positions over the last couple of quarters. Moving on to credit quality. I am very pleased to report that we ended the year with very strong credit quality metrics across our portfolio. During the quarter, we saw continued loan losses and had further reductions in our non-performing assets and criticized loans. As of December 31, non-accrual loans totaled $5.9 million, and we do not currently hold any OREO. This represents 0.15% of total loans and 0.08% of total assets. We moved one C&I relationship to non-accrual in the fourth quarter in the amount of $605,000. This was more than offset by $933,000 in loans that were either paid in full, made payments that were applied to principal or returned to accrual status. While non-accrual loans declined by a modest $320,000 during the fourth quarter, we have seen a significant reduction of $17.8 million or 75% since December 31, 2021. Our delinquent loans, which we define as those over 30 days past due and still accruing remains low at $5.4 million or 0.13% of total loans. While this is slightly higher than the previous quarter, most of the difference was connected to three mortgage loans that were part of a loan pool purchase in December, where there was a delay in receiving the payments from the original servicer. Those payments were received in early January. Page 23 of the investor presentation highlights the positive trends in our level of non-performing assets. Criticized loans, those risk-rated, special mention and substandard, declined approximately 10% or $15.6 million in the fourth quarter and are now down 26% from year-end 2021. It is worth noting that over the past 12 months, loans risk-rated substandard have declined by $47 million or 42%. As of December 31, criticized loans totaled $135 million or 3.3% of total loans. At year-end 2020, criticized loans were $291 million, and our current level represents a decrease of 54% from what we consider to be the high point of this credit cycle. While still high at 25% of criticized loans, our hotel portfolio continues to improve. In the fourth quarter, we saw a reduction of approximately $12 million in criticized loans in this category, primarily from the payoff of one loan. We continue to closely watch our portfolio of office loans. Through year-end 2022, we saw very little deterioration in credit quality. Criticized office loans totaled approximately $23 million or 4% of our total portfolio of office loans. For more detail on our criticized loans, please refer to Page 24 of the investor presentation. During the fourth quarter, we experienced very low charge-offs of $151,000, all from our consumer portfolio. These consumer losses were low when compared to historical norms and were primarily tied to auto loans, small unsecured lines of credit and credit cards. The losses were more than offset by recoveries of $359,000, leading to a net recovery of $208,000 for the quarter. A significant portion of the recoveries in the quarter came from the completion of a successful long-term workout strategy for a commercial real estate land development loan. For the full-year, we had net recoveries of approximately $1.2 million. This compares favorably to the net charge-offs of $526,000 that we experienced in 2021, also a very strong year when compared to historical performance. As we have stated in previous calls, our average annual net charge-offs for the three-year period, 2018 through 2020, was approximately $2.9 million. In 2022, our disciplined credit approach delivered excellent credit quality across portfolios while still realizing solid loan growth. While we recognize that 2023 may present a more challenging economic environment, we remain very well positioned with strong credit quality and a well-diversified loan portfolio. I will now turn the call over to Bryan, who will have an update on loan production.
Bryan McDonald: Thanks, Don. I'm going to provide detail on our fourth quarter loan production results, starting with our commercial lending group. For the quarter, our commercial teams closed $329 million in new loan commitments, up from $277 million last quarter and the same as the $329 million closed in the fourth quarter of 2021. Please refer to Page 19 in the fourth quarter investor presentation for additional detail on new originated loans over the past five quarters. The commercial loan pipeline ended the fourth quarter at $536 million, down from $604 million last quarter, and up from $462 million at the end of the fourth quarter of 2021. The pipeline decline was due to the strong volume of loan closings during the fourth quarter and the moderating demand for loan opportunities we have been reporting in the last two quarters. New commercial teams hired during 2022 have been adding to our loan pipeline and producing strong results as reflected on Slide 10 of the investor presentation. Loan balances in Eugene and the Portland MSAs increased 33% during 2022 and grew at a 54% annualized rate from June 30 through the end of 2022. The reported pipeline does not include any loan opportunities from our new team in Boise as this branch did not open until early January. I hope you have had a chance to read our January 10 press release where we announced our new Boise, Idaho branch. Loan growth was $50 million for the quarter or 5% annualized, which is below the growth rate we experienced earlier in the year. Although new loan production during the quarter was higher than any other quarter and we purchased a small residential mortgage pool, this was offset by a higher mix of unfunded construction loans and a decrease in the utilization rate, which led to a $20 million decline in net advances this quarter versus a $55 million increase last quarter. Please refer to Slides 20 and 21 of the investor deck for further detail on the change in loans during this quarter. Consumer loan production, the majority of which are home equity lines of credit, was $21 million during the quarter, which is down from $29 million last quarter and $23 million of production in the fourth quarter of 2021. The mortgage department closed $18 million of new loans in the fourth quarter of 2022 compared to $26 million closed in the third quarter of 2022 and $45 million in the fourth quarter of 2021 with mortgage rates remaining at higher levels. We anticipate volumes will continue at the relatively low levels we saw in the second half of 2022. Moving to interest rates. Our average fourth quarter interest rate for new commercial loans was 5.72%, which is 85 basis points higher than the 4.87% average for last quarter. In addition, the average fourth quarter rate for all new loans was 5.51%, up 62 points from 4.89% last quarter. Although the marketplace continues to be competitive, we are seeing a portion of the rate increases translate into higher quoted rates on new loans. I'll now turn the call back to Jeff.
Jeffrey Deuel: Thank you, Bryan. As I mentioned earlier, we are pleased with our performance in the fourth quarter and for the full-year 2022. We are seeing solid organic production across the bank with deals coming from existing customers and new high-quality prospects. Additionally, we are seeing multiple new business opportunities coming from the new teams in the southern part of our footprint, and we expect the new Boise team to start contributing to the revenue line soon. Based on our current pipeline, we expect Q1 loan production to be in the mid single-digit range based on current deal flow. We will continue to focus on expense control with little or no increases in staffing in 2023 other than opportunistic hiring to strengthen our production teams. We have also maintained a focus on our technology strategy, which is designed to support more efficient operations, enabling us to do more with the same people and provide a more consistent customer experience. This also positions us well to pivot as bank technology continues to evolve and we continue to grow. Please see Slides 6 and 7 of the investor deck for more detail on our tech strategy. We are prepared to pursue acquisitions in our three-state region when we see the right opportunities for us. In the meantime, we continue to focus on opportunities to add new teams like we have done in Oregon and Idaho, as well as add individual producers throughout the footprint. Please see Slide 13 in the investor deck for a historical look back of our M&A and team lift-out activities. As Don mentioned earlier, our capital levels and our liquidity position provide us with a strong foundation to address unforeseen challenges and to take advantage of opportunities in the current environment. We are grateful to all of our employees for the constructive collaborative team environment we work in and for everyone's hard work and focus as we've contributed to the – as that has contributed to the success of the bank in 2022. That is the conclusion of our prepared statement, Sam. So we are ready to open up the call for any questions that people may have.
Operator: Absolutely, Jeff. We will now begin the Q&A session. [Operator Instructions] Our first question today comes from the line of Matthew Clark with Piper Sandler. Matthew, your line is now open.
Matthew Clark: Hey. Good morning, guys.
Jeffrey Deuel: Good morning.
Matthew Clark: Maybe just around the margin, trying to get some better visibility going into the first quarter here. The spot rate at the end of the year on interest-bearing deposits or total deposits [indiscernible] and the average margin in the month of December, if you have it?
Donald Hinson: I'll take that, Matthew. Our spot rate for interest-bearing deposits in December was 32 basis points, up a little bit from the overall average of 29 – or 25 for the quarter. And then also the margin for December was 406.
Matthew Clark: Okay. And that's on a reported basis? I think it's fairly similar to the core anyway?
Donald Hinson: Which one are you talking about, the NIM?
Matthew Clark: The margin – the December margin you just quoted, I assume that's...
Donald Hinson: Yes, the same as we report quarterly.
Matthew Clark: Same as, yes, that's what I thought. That's right. Yes. Yes. Okay. Got it. And then maybe just on deposits, they were down in the quarter. I know some of it moved to the wealth management platform you guys have. But it sounds like there's an expectation that deposits continue to decline here maybe in the next quarter or two. I would have thought some of those new bankers you brought over six, seven, eight months ago would have been able to mitigate some of those industry pressures. But I don't know if rates are making it difficult for them to bring over prior relationships or not both on the loan and deposit side. Any color there?
Bryan McDonald: Jeff, do you want me to take that one?
Jeffrey Deuel: Well, sure, Bryan. Go ahead. I can add if I think of something I want to add to...
Bryan McDonald: Okay. Matthew, this is Bryan. I was just going to – if you look at Slide 10 in the deck, that's where the bulk of the new team members fall into. And so you can see on the deposit side, we had a little bit of decline in that market. It went from $748 million deposits to $724 million, so a little bit of decline, but lower deposits than what we've seen elsewhere in the bank. So with overall deposits declining, just not seeing as much impact. And then, of course, on the loan side, I commented on that. We've had nice increases in loan balances. So those will come a little quicker than some of the deposit balances. But we're seeing good activity across the footprint. Obviously, those teams are out calling and we're just doing what we can as an institution to support them. But we are seeing good momentum on both the deposit and loan side.
Matthew Clark: Okay. And then just maybe for Don, on the non-interest expense run rate, pretty much in line with the guidance you gave, maybe on the higher end, but what are your kind of updated thoughts on the run rate coming into the new year and how it might transition or progress through the year?
Donald Hinson: Yes. I think it's going to increase. We've got a couple of factors here. Again, we added Boise right at the – basically year-end. We've had a lot of costs in Q4, and we will have costs as we develop that office. In addition, the FDIC premiums are going up this year, and that's going to be about $1 million for the year, and so it's about – if you average that out about 250 per quarter. So I think it's going to be in the $41 million to $42 million range per quarter as a result [indiscernible]. In addition to overall continue some inflationary pressures that we're feeling. But overall, I think that we're going to end up.
Matthew Clark: Okay. Thank you.
Operator: Thank you, Mr. Clark. The next question is from the line of Eric Spector with Raymond James. Eric, your line is now open.
Eric Spector: Hey, everybody. This is Eric on line for Dave Feaster. Congrats on a solid quarter, and appreciate you taking the question. Just wondering how you think about liquidity here and potential outflows. Cash is down to around 1% of assets. We continue to see outflows. How would you look to – would you look towards borrowing or potentially sell securities? How do you kind of handle defending your deposit base? Any color on there would be great.
Jeffrey Deuel: Yes. Don, do you want to take that?
Donald Hinson: Sure. I will answer that. Yes. So I think we're going to – we might use a variety. We might be using – although we probably won't be adding to our investment portfolio, it does draw some cash flows there. I think we will utilize possibly some borrowings. I think it's going to be a mix of instruments we use, borrowings. Possibly, I mentioned in my prepared remarks about brokered CDs and we may sell some securities also, maybe just a variety of things to meet it. Obviously, there's benefits to in the short run of selling securities, but I think it hurts you, in a way as long run. One of our strategies this last year was actually to become less asset sensitive as we reach the peak at the rates. So when rates come back down, then we will be protecting some margin. So you're going to give that up if you start selling security. So we'll use a variety of methods to manage our liquidity, which we have a lot of with – again, with a loan-deposit ratio of 68%. We have plenty of room to manage this.
Eric Spector: Okay. Sounds good. Makes sense. And then you purchased some resi mortgages again this quarter. Just curious how you think about that going forward?
Donald Hinson: We'll probably be doing some of that, but probably not to the extent we did it in 2022, but we will use it to do some supplement loan growth. In addition to, again, it's kind of a higher duration paper. So I think we're locking in some rates that way.
Eric Spector: Okay. Thanks. And then I just wanted to lastly just touch on capital. Stocks pulled back a little bit. How do you think about capital now going forward?
Donald Hinson: Well, currently, we're maintaining our capital for purposes of growth. As you see, we've added a lot of teams, and therefore, we're expecting a lot of production in certain areas. And so right now, our first priority is growth. There's a chance we might be – we might have some buybacks, but it's not going to be certainly a focus.
Eric Spector: Okay. Sounds good. Thank you. That's it for me and congrats again on solid quarter.
Donald Hinson: Thanks, Eric.
Operator: Thank you, Eric. The next question is from Jeff Rulis with D.A. Davidson. Jeff?
Jeffrey Rulis: Thanks. Good morning.
Jeffrey Deuel: Good morning.
Jeffrey Rulis: Wanted to circle back to the margin. I got your comments that kind of certainly entering 2023 with some momentum, I think the industry certainly participate on the upside with earning asset yields or pricing now we’re [indiscernible] for giving it back on the funding crunch in 2023. My guess is your – if you are a little more fortunate on the deposit side, I guess it's a long way of asking, should we expect to still outpace that deposit pressure and scratch out further margin increase? I mean, I'm looking more into the balance of 2023 and what you think about margin? Thanks.
Donald Hinson: Jeff, I expect there to be some margin expansion through this year, but it will be contingent on, again, how much runoff deposits we might experience because the more runoff we have, the other actions we might need to take as far as borrowings, which are obviously cost a lot higher. And our loan growth, it would be another one. I'm expecting our loan growth to continue, which will help that. So I think those factors will be important. The third is just the overall rate environment. What happens there? Are they going to do 50 basis points and stop for a long time or will they can start coming back down? So there's obviously a lot of factors. But in general, I do expect our margin to expand some this year, although at a much slower pace.
Jeffrey Rulis: Okay. And that sounds fairly sustained. If we looked at sort of last cycle and how you performed versus peers on a margin, it seemed like that was – it had more of an extended run given the deposit franchise strengths – that would – all inputs aside, that seems like a fair assumption this time around?
Donald Hinson: Yes.
Jeffrey Rulis: Okay. And then on the loan growth, I may have missed it. I think it kind of pointed to mid-single digit in Q1. Did you round that out for the balance of the year in terms of full-year growth?
Jeffrey Deuel: We did say mid-single digit, Jeff, in the text and – it's just – it's hard to see too far out there. Historically, we've said mid to high-single digits. I think in a nice – a more positive environment, we might see it pick up some. I think we're also waiting to see what we're going to get in the new year from some of these teams. But you know that we always take a pretty conservative approach on our loan growth. So that's why you're getting that mid-single digit.
Jeffrey Rulis: Got it. And Jeff, I – Don kind of answered the capital question, and I'll circle back. I think you said we'll continue to look at M&A and look at team ads. Any more inbounds in terms of sellers in the region? Or has it been pretty quiet?
Jeffrey Deuel: It's still pretty quiet and has been for quite a while, as you well know. We just continue to have our conversations stay closed in the event that somebody decides to do something. But for probably the first half of next year, I don't see much happening.
Jeffrey Rulis: Pretty quiet. Okay. Well, thank you. I'll step back.
Jeffrey Deuel: Thank you.
Operator: Thank you, Jeff. The next question comes from the line of Andrew Terrell with Stephens. Andrew?
Andrew Terrell: Hey, good morning.
Jeffrey Deuel: Good morning.
Andrew Terrell: Apologies if I missed this in earlier comments, but did you provide the new production yields for the quarter? Just new production loan yields?
Jeffrey Deuel: Bryan, do you have that?
Bryan McDonald: Yes. Andrew, for new commercial loans, it was 5.72%, which is up from 4.87% last quarter. And then for all new loans, it was 5.51% which is up from 4.89% last quarter.
Andrew Terrell: Okay. Got it. Thank you. And then do you have a breakdown for how much of your fixed rate loans or adjustable rate loans repriced over the coming year? And then also just the amount of cash flow for the securities book. I'm just trying to get a sense for kind of overall earning asset repricing dynamics looking throughout 2023?
Jeffrey Deuel: Yes, Page 17. Go ahead, Don.
Donald Hinson: Well, Andrew, if you go to Page 29, actually, of the investor presentation talks about the repricing. So we break it up into floating rate, which is under three months. And then adjustable rate and then fixed. So you see that about 16.6% of overall assets repriced at about 22% of loans, repriced in less than three months and half of that is about prime and the other half is LIBOR. So that helps you there.
Andrew Terrell: Yes. I guess just for the – I'm trying to get a sense for the adjustable piece, the 17%, the fixed rate of 65%, just how much of that could have a potential rate reset higher throughout 2023, just thinking about kind of longer term, if the Fed were to pause, just thinking about maybe kind of longer term earning asset repricing benefits?
Donald Hinson: Okay. I would say just on kind of looking back – previously, I haven't looked it up for this quarter, but I would say probably without that adjustable rate, probably another 20%, 30% of that is probably going to reprice this year.
Andrew Terrell: Okay. That's helpful. And then is there a way to quantify the – I know you mentioned some rate-sensitive depositors leaving the banks that led to the deposit decline this quarter. Are you able to quantify how much the deposit decline was kind of due to rate sensitivity from your customers? And have you identified kind of what you view as maybe surge deposit balances or rate-sensitive deposit balances remaining that could be at risk of migration moving forward?
Jeffrey Deuel: Don, do you want to take that one?
Donald Hinson: Sure. So as far as the surge deposits, that's a hard one. We've had a lot of change since, you might say, the beginning of COVID. We were at, again, I think $4.5 billion or $4.6 billion in deposits. Then we peaked to $6.5 billion in early 2022, we're down to $5.9 billion. But we've also – at the same time, we added, I think maybe 1,000 customers through PPP. We've added teams of people, various producers. So where that should finally shake out, it's kind of hard to say if you talk about surge deposits. I think we're continuing to see some outflow similar to what we saw in Q4, at least in the first part of the quarter. I expect that to slow down as we get further into the year. So it's really hard to give you a number on where that's at. And I’m sorry, what was your first part of that question?
Andrew Terrell: Are you able to quantify the amount of deposits, I guess, of the $300 million deposit decline this quarter?
Donald Hinson: The rate sensitivity piece?
Andrew Terrell: Yes. That's right.
Donald Hinson: I don't have, again, a number, but from getting the intelligence from our bankers out there, I would say, 80%, 90% are probably due to rates.
Andrew Terrell: Yes. Understood. Okay...
Donald Hinson: Some of it's asset purchases, some of it's order distributions. So there was some of that going on, but I would say most of it's due to rates.
Jeffrey Deuel: Andrew, what Don is quoting how the deposits change through the last couple of years, what also complicates it is you'll recall that we gathered up a lot of new customers as a result of our work around PPP. So they're embedded in there, too, and that includes their surge deposits, but also their operating deposits as well. So it's pretty complicated.
Andrew Terrell: Yes. No, understood. Well, I appreciate you guys taking the time for the questions today, and the rest of mine have been asked or addressed. I'll step back.
Jeffrey Deuel: Thank you.
Operator: Thank you, Andrew. The next question is from the line of Kelly Motta with KBW. Kelly?
Kelly Motta: Hi. Kelly with KBW. Thank you. Thanks for the question. Most of mine have been asked and answered at this point. But I was hoping to get a little color on your office portfolio. Your exposure is a little bit larger than some of the other banks that follow. I know you guys are really conservative on the lending front. But can you just provide any color on kind of the location of that, whether it's downtown versus suburban? And any sort of credit metrics would be helpful.
Jeffrey Deuel: Yes, Kelly, just to give you a little bit of perspective, we consider the core locations to be the ZIP codes in the primary downtown markets of Seattle, Tacoma and Portland. And if you focus on those areas, we don't have a lot of exposure there. I think it boils down to a total of 27 loans with total outstandings of just under $48 million, which boils down to 8.3% of the office CRE portfolio. And those would not be the high-rise buildings that are experiencing the highest levels of vacancy. They're probably medical facilities or whatever that might be in those markets. But if you look at our criticized office loans, for example, they totaled $23 million. And there's – I think it boils down to about 15 loans, and three of them are considered in those core markets. So our exposure is pretty limited. And while we are seeing vacancy for downtown offices, to be going up, we're not necessarily seeing a significant impact in the broader market. You might be reading about all of the tech companies would be sort of breathtaking numbers of people that they're laying off, which is something we haven't seen in a long time and that industry hasn't seen probably ever. But I think for us, those layoffs are still kind of to be determined for the Puget Sound area. And we think that the impact will be roughly proportionate to the overall size of the company's footprint and geography. So while it will have some impact as we go along, it may not be as significant as the numbers would imply. We also are seeing some of the tech companies reducing their footprints for hybrid work in addition to the headcount reductions, but we've been seeing that for several quarters now. So that's not necessarily new. And I don't get the impression this is a bubble bursting. I think it's more a correction for the tech companies. But overall, as you can see from our credit quality metrics, things are pretty benign right now.
Kelly Motta: I appreciate all the color. I guess more broadly speaking, are there any other areas that you think, from our seat, we should be watching more closely?
Jeffrey Deuel: Not for us in this region. I mean, we just got some information from our chief appraiser. He gives us an update every month. And there's a little softening in industrial and multifamily not significant enough to necessarily cause concern. Retail is actually pretty good right now. And hospitality, we know the hotel portion of the market is still in recovery mode. But as we've said in some of our comments, even our hotel portfolio is improving. One of the – I guess, the metrics that I watch for is what's going on with single-family. And you know we had a pretty significant rise in values of homes in the general region, people moving around and buying new homes in different markets. But the information we have would suggest that while things have slowed down a little bit, single-family housing maybe pricing dropped back from what it was at the end of the year to what it was maybe at the beginning of the year. But there's still not a huge amount of houses available, which obviously keeps the price up. So for now, we're feeling pretty comfortable with where things are and what's in our portfolio.
Kelly Motta: Thanks so much. I'll step back.
Jeffrey Deuel: Thanks, Kelly.
Operator: Thank you, Kelly. We have no further questions waiting at this time. [Operator Instructions] Seeing none, it's my pleasure to hand the call back over to Jeff for any additional remarks. Jeff?
Jeffrey Deuel: Thanks, Sam. If there's no more questions, we'll wrap up this earnings call. We thank you for your time and your support and your interest in our ongoing performance, and we look forward to talking with many of you in the coming weeks. So goodbye, and have a good day.
Operator: That concludes the Heritage Financial Corporation Q4 2022 earnings conference call. There will be a replay available shortly hereafter. You may access the replay by dialing into the toll-free number 866-813-9403, and entering access code 855414. Thank you all for your participation. You may now disconnect your lines.